Operator: Good morning ladies and gentlemen. Welcome to the Leisureworld Senior Care Corporation Third Quarter 2014 Financial Results conference call. I would now like to turn the meeting over to Ms. Lois Cormack, CEO. Please go ahead, Ms. Cormack.
Lois Cormack: Thank you, Melanie. Good morning and thank you for joining us on our call this morning. With me on the call is Nitin Jain, our Chief Financial Officer. Today’s call is being recorded and a replay will be available. Instructions for accessing the call are posted on our website and details are provided in our news release. We have posted slides which accompany our remarks on our website under Events and Presentations. Please be aware that certain information discussed today is forward-looking. Actual results could differ materially. We do not undertake any duty to update forward-looking statements. Please refer to the risk factor section in our public filings for more information. Now turning to Slide 4, in reviewing our third quarter we continued to show solid growth and performance from the transaction completed in Q4 of 2013. Our press release summarizes our performance and I will review the highlights, then Nitin will discuss the financial results in more detail. Operating funds per share diluted were up 11% over the same quarter last year. Adjusted funds from operations per share diluted were up 12% and net operating income was up 32%, resulting from the successful integration of the Specialty Care acquisition. I will provide some insight on each of the core businesses, starting with long-term care. Overall, our long-term care business remains stable and predictable. Same property net operating income is up 0.7% from our results a year ago. The private room accommodation rate increased to $23.25 as of September 1 and new residents admitted to private rooms in A homes are starting to pay this amount. It will take until 2017 to achieve the $23.25 rate in all of our private A-class beds, a little over 2,000 suites. Now moving to Slide 6, we are very pleased with the recent announcement from the Ministry of Health and Long-Term Care for a long-term care home renewal strategy. This will support operators to upgrade older long-term care homes. The announcement included a number of excellent initiatives, specifically a dedicated project office for capital redevelopment will be established to fast-track approvals, an enhancement to the construction funding subsidy, design standard flexibilities will be considered on a home-by-home basis, a commitment to continue to increase the premiums for private accommodation, and license terms for A-class homes will be extended to 30 years. The Ministry has established a stakeholder committee which includes long-term care operators. They are currently working out the details of the enhanced renewal strategy, and final details of the plan will be developed over the next few months and we look forward to sharing the details with you when the parameters are finalized and as we finalize our plans. Moving on to retirement, our retirement home occupancy at the end of the quarter was 84.9%, up from 5.5% from Q3 of last year. Essentially same property net operating income is flat when factoring in the timing of expenses. The Royale homes – the Astoria, Peninsula, Kanata and Kingston – are all in very well supplied and competitive markets, and lease-up is simply taking longer than we had expected in these communities. We are working very hard to reposition these homes, including improving community relationships and introducing assisted living services. Establishing our retirement living portfolio continues to be a high priority, and our retirement team remains very focused on implementing our unique retirement living services and programs. We continue to make improvements in dining services, sales and marketing, leisure services and community outreach, as well as implementing assisted living services. We continue to work towards establishing our reputation as leaders in retirement living in every community that we serve. We hold many events in our homes to bring prospects and the community in, and in the month of October we held a very successful Cook for the Cure event in all of our communities, which also raised funds for the Canadian Breast Cancer Foundation. We do run a regular series called Bones Be Strong, which educates prospects and community on bone health and falls prevention. We have also launched a Cyber Seniors program where students come in and work with our residents on mastering social media. We are monitoring our resident satisfaction scores and are pleased that we are showing improvement over last year. Now moving on to home care on Slide 8, I think the best way to describe home care is that this sector is currently in a state of transition. With the investments in home care, there is a trend to seniors staying in their homes longer and accessing publicly available home care services. Our home care division is experiencing some growth in personal support worker volumes, and there has been some margin compression in this CCAC business due to increased expenses associated with the new provincial personal support worker compensation requirements. This is being experienced across the home care sector. Our home care division is experiencing a decline in private pay volume and we believe that this is because seniors in our catchment area are accessing more publicly funded home care services. Home care currently accounts for 3% of our business and we are known as a high quality provider and are well positioned for growth over time. With respect to management services, long-term care and retirement home businesses are highly regulated and complicated to manage. We have excellent expertise in these businesses which is valuable to smaller operators, plus we bring benefits of scale and increased efficiency. There is good opportunity in this business, and we will grow its contribution over time. Summarizing the third quarter, we had good growth in OFFO, AFFO and NOI. The announcement of the government’s long-term care renewal strategy is a positive development for everyone in this sector and in particular for residents or staff who live and work in older homes. Now I will turn the call over to Nitin Jain to provide more detail on our financial performance.
Nitin Jain: Thank you Lois, and good morning everyone. Before I begin, I would like to note that you’ll find a fulsome discussion of results in our MD&A and financial statements, which are posted on SEDAR and can also be found on our website. Now let’s turn our results on Slide 9. In the third quarter of 2014, we generated net operating income, or NOI of $21.4 million, which is up $5.2 million or 31.8% from the same period last year. On a same property basis, NOI was $16 million, which after factoring in timing of expenses in Q3 2014 is flat to third quarter of 2013. For the first nine months of the year, we generated NOI of $61.1 million, which is up $15.3 million or 33.5% over the first nine months of 2013. On a same property basis, NOI was $46.5 million, an increase of $1.1 million or 2.4% compared to the same period last year. Our improved NOI performance is largely due to the acquisition which closed in December 2013 and same property improvements in retirement and long-term care. Turning to Slide 11, in the third quarter of 2014 diluted OFFO per share was up $0.03 or 11.3% over third quarter 2013. For the nine months period, diluted OFFO per share was up $0.13 or 18% from the same period last year. Please note prior year diluted OFFO per share excludes the impact of subscription receipts which were issued in April of 2013. Similarly, diluted AFFO per share increased by $0.03 or 12% for the third quarter of 2014 over the third quarter of 2013. For the first nine months of the year, diluted AFFO per share was up $0.13, up 15% from the same period last year. Now moving to our financial position on Slide 13, recently DBRs confirmed that the rating of our Series B debenture will remain at A (low) but stable trend. This is a strong vote of confidence by rating agencies on the strength of our financial position. As of September 30, 2014, the current portion of our long-term debt was $106 million, which reflects our debt and credit facilities that are due within the next 12 months. We are in the process of refinancing the portion of our current debt due in December and are close to finalizing the terms and conditions with the lenders. This has been done in accordance with our debt strategy of building a debt ladder over 10 years, building liquidity for acquisitions and redevelopment to build a pool of unencumbered assets and to reduce overall leverage in the long term. As previously announced, the company implemented the dividend reinvestment plan – DRIP, which received approval from TSX during Q3 2014. As of October 31, 9% of outstanding shares were enrolled in this program. We consider this a great start to our DRIP program. With that, I would like to turn it back to Lois.
Lois Cormack: Thank you, Nitin. So turning to Slide 15, looking ahead Leisureworld is focused on continuing to maximize the benefits of a larger and more diversified seniors living organization. We are making excellent progress on integration and seeing the results in our performance. The organization continues to make improvements in our back office and support services to accommodate our recent growth, which we will continue in 2015 as we work to enhance the services that head office provides to all of our homes. We are very proud of our new vision, mission and values that we are launching internally. This is aligning our 7,500 employees around a common direction and transforming our culture, focused on maximizing the residents’ experience and employee engagement. You will find our new vision in our MD&A. Leisureworld now operates across the spectrum of seniors living. This provides us with the most flexibility to respond to a change in preferences for seniors living services and changes in healthcare policy over time. However, we are still known as a long-term care provider, and this will be addressed by our new brand strategy as it will be more reflective of our diversification and our focus on retirement living. It will bring a number of fragmented brand positions under a single, unified approach, and this will reinforce our commitment to building a strong reputation in every community that we serve. We are looking forward to executing our new brand strategy externally next year. Our business strategy is to provide our investors with both stability and growth in long-term care, retirement, home care, and third party management services. Our focus going forward will be on these major priorities: one, maintaining a strong focus on retirement living, repositioning the Royale homes and achieving improvements in occupancy; two, planning for the redevelopment of our C class long-term care homes, there is upside to increase our preferred accommodation when we upgrade to A-class homes, and we have valuable landholdings that we can use for expansion or for disposition; three, focusing on acquisition opportunities across all lines of our business; and finally, launching our brand strategy as a diversified seniors living organization. Thank you very much for your participation today. Now Melanie, Nitin and I will be pleased to answer your questions.
Operator: [Operator instructions] The first question is from Jonathan Kelcher of TD Securities. Please go ahead.
Q Jonathan Kelcher – TD Securities: Thanks, good morning.
A – Nitin Jain: Good morning, Jonathan.
Q – Jonathan Kelcher – TD Securities: First on the same asset retirement portfolio, the revenue there was only up 1% quarter-over-quarter, which you guys attributed to higher ancillary revenues. Could you give us a little bit more color on that portfolio, how occupancies did, have you had lower rental rates or anything like that?
A – Nitin Jain: Sure, Jonathan. So the occupancy for the same portfolio, which is really the Royale portfolio, has been up versus Q3 of 2013, so Q3 of 2013 was around 72%; it’s around 74% now. The numbers are so small, it’s just an offset between increased occupancy and some timing of expenses from an expense perspective. But in terms of ancillary revenue, what Lois talked about, our strategy of enhancing dining, enhancing care services, that’s what really drove the increase in revenue.
Q – Jonathan Kelcher – TD Securities: Okay, so if the occupancy was up, then rental rates must have been—did you have to give a little on rental rates to drive the occupancy?
A – Nitin Jain: On average, just as we mentioned, the number is so small – it’s only $100,000, so when you average it out, it is very small across the portfolio. Then you factor in some of—because we do incentives particular to residents, sometimes one month, so those things factor into the revenue as well when you straight-line that. So it’s more driven by that than a general reduction in rates.
Q – Jonathan Kelcher – TD Securities: Okay, and if we look ahead to next few months as we move into winter season here, when you do really start to see the slowdown in new tenants coming in?
A – Lois Cormack: It varies. It’s usually around Christmas it slows down.
Q – Jonathan Kelcher – TD Securities: Okay. Then the second thing I wanted to talk about, the enhanced LTC home renewal strategy, I guess it’s still early days for that, but do you have a sense of timing on when the government wants to get a plan out – spring, fall?
A – Lois Cormack: Yes, we know that the stakeholder committee has been established with operator representation, which is excellent. We’re very pleased with that approach. We understand that it will be Q1 we will know the details, the parameters of the program.
Q – Jonathan Kelcher – TD Securities: Okay. Just on the wording in your MD&A, you wrote, scheduling of LTC homes for redevelopment. Is that a change in the process from the tender process that the government was previously using?
A – Lois Cormack: Yes, Jonathan. This is a different program because the previous one was new builds – primarily it was new licenses, A-class homes. It was new—basically an issuance of new licenses, so there was an RFP process that operators had to apply for and get accepted and go through the approval process that was a competitive bidding. This is licenses that are already owned by operators, so it’s a matter of being able to upgrade either through a greenfield or on an existing site to get to an A-class home, so this redevelopment office or renewal office that’s being established will be more for fast-tracking approvals and scheduling to ensure that beds are going in where they’re needed and it’s coordinated across LHINs, because you don’t want—you know, if one LHIN needs 2,800 beds, you wouldn’t want them all coming on at the same time because there is a transition. There’s existing residents in beds, so there’s going to be some disruption, particularly if you do a retrofit on the existing site. So that’s why it’s more of a scheduling effort than a proposal.
Q – Jonathan Kelcher – TD Securities: Okay, but there’s no way you’re going to be forced to do something if the math doesn’t work for you on a particular property?
A – Lois Cormack: No, no.
Q – Jonathan Kelcher – TD Securities: Okay, just wanted to clarify that. Thanks. I’ll turn it back.
A – Nitin Jain: Thank you, Jonathan.
Operator: Thank you. The following question is from Troy Maclean of BMO Capital Markets. Please go ahead.
Q – Troy Maclean – BMO Capital Markets: Good morning.
A – Nitin Jain: Hey Troy, how are you?
Q – Troy Maclean – BMO Capital Markets: Very good, how are you?
A – Nitin Jain: Good.
Q – Troy Maclean – BMO Capital Markets: With what you’re seeing in the retirement home portfolio, what do you expect that same property NOI to be next year? More the rates we’ve seen in the last few quarters, or is this 1% a good run rate for next year?
A – Nitin Jain: So next year, same property would be our entire portfolio, which was the Specialty Care as well as the Royale portfolio. As Lois talked about, we do have to reposition the Royale homes, so it’s going to take us some time. I think we should expect modest increases in same property next year for retirement.
Q – Troy Maclean – BMO Capital Markets: Okay, and then in your retirement home markets that are oversupplied, are you seeing any new building or is the market kind of stabilized, just waiting to be absorbed?
A – Lois Cormack: Well, there is still that, Troy, definitely being absorbed. It has not fully been absorbed across in the markets that are oversupplied. In addition in our home in White Rock, Pacifica, there is new product going up right beside us – it’s a continuum of care, which we anticipate or is planned to open about a year from now. So there continues to be new supply coming in in certain communities, but I would say overall slower than what was experienced in the earlier years when we had so much come on so quickly, so in specific markets there is additional supply that will come on over time.
Q – Troy Maclean – BMO Capital Markets: And then on the Ministry’s enhanced LTC home renewal strategy, you mentioned they support increases to preferred accommodation rates. Would that only be for homes that are going to be redeveloped, or would that apply to all Class-A homes?
A – Lois Cormack: The preferred accommodation, our understanding is that it would apply to all Class-A homes. Now having said that, I guess that’s yet to be seen, but certainly the experience with the increase in preferred accommodation that has come out over the past few years with each increase, it pertains to all A-class homes and we would certainly expect that policy to continue.
Q – Troy Maclean – BMO Capital Markets: Thank you. I’ll turn it back now.
A – Nitin Jain: Thank you, Troy.
Operator: Thank you. The following question is from Michael Smith from RBC Capital Markets. Please go ahead.
Q – Michael Smith – RBC Capital Markets: Thank you. I know its early days, but do you have any idea of what the new construction funding subsidy would be, what range?
A – Lois Cormack: We don’t really, Michael. There is a general range out there, but we don’t have enough color on the details of the breakdown and how it’s going to work, so—and we know that as an association, we’ve really asked for flexibility because there’s a lot of differences for smaller homes and retrofits, so we’re really pleased with the approach, that there is this stakeholder engagement to work through the details of the program. So really, it’s premature to say what the final construction subsidy is going to be on a home-by-home basis because we just don’t have the color on that at this point.
Q – Michael Smith – RBC Capital Markets: But it sounds to me like you’re pretty optimistic that it’s going to make sense.
A – Lois Cormack: Well, we just believe it’s good policy. It has to make sense because half the bed stock in the province is B and C-class that really needs to be upgraded, and we’re very pleased that there’s been a commitment from the provincial budget to—you know, the recent announcement that this government really wants to see a program that works for all operators to upgrade these homes, which is really needed just for the residents who live in these homes.
Q – Michael Smith – RBC Capital Markets: So as you go through your early stages of planning, and I understand you have to wait for all the details, what ballpark range of costs would it be to rebuild your 14 class-C homes?
A – Lois Cormack: Well, we’re getting detail on that now, Michael. It’s a bit of a moving target because we’re working with our partners to get numbers for construction costs and so on, but a lot of it is a variable of development costs and land and so on. The good thing that we’re very pleased, we think that this presents us with a tremendous opportunity for growth, is because we’ve got great locations right now primarily in the GTA that we can unleash land value. Most of our projects, about 80% of them are going to be greenfield, so we can repurpose existing land and repurchase land in other locations within the LHIN boundaries to build a new home, and then repurpose the existing sites, which is are all very well located. So we think that we’ve got tremendous opportunity there.
Q – Michael Smith – RBC Capital Markets: What initial financing plans are you thinking about? What options are on the table, so to speak?
A – Nitin Jain: Sure, Michael – good morning. So I think as Lois talked about, it’s very site-specific, and because in some homes the value of the land could equal what we might need for the value of the construction, so I think it’s very site-specific. I think in terms of how we might fund it overall, we continue to have good access to capital markets. We have been retaining cash as our debt strategy because we have been preparing for the redevelopment program. This is a 10-year program, so as some of the homes come online, we will start getting increased NOI because of the increased preferred as well, so I think it’s the line-up of all of those, and we are in the process of doing that.
A – Lois Cormack: The other thing, Michael, is we don’t know the detail yet because we don’t have the details of the construction premiums, so it really is a little premature to forecast numbers. But all of that, we’re working on and we’ll finalize as the parameters become available.
Q – Michael Smith – RBC Capital Markets: Okay. With this new program that sounds like they’re going to do the right thing, does it change your views on acquisition? Does it make you more interested in LTCs than retirement homes, or is there really no change?
A – Lois Cormack: We’re still very committed to a diverse approach and very, very committed to building out our retirement division and focusing on retirement in a diversified approach across the continuum – long-term care, retirement, home care, and management services.
Q – Michael Smith – RBC Capital Markets: Okay.
A – Lois Cormack: We have good opportunity in all of these areas.
Q – Michael Smith – RBC Capital Markets: Okay, I’ll turn it back. Thank you.
A – Lois Cormack: Thank you.
Operator: Thank you. The following question is from Yash Sankpal of Dundee Securities. Please go ahead.
Q – Yash Sankpal – Dundee Securities: Good morning.
A – Nitin Jain: Hello Yash, how are you?
Q – Yash Sankpal – Dundee Securities: I’m good, thanks. On the $73 million mortgages that are maturing over the next 12 months, maybe you could provide some color around what your strategy is, given the homes are not stabilized. Would there be a write-down, or would the bank or lenders force you to make a payment?
A – Nitin Jain: Sure, so you’re talking about the credit lines which are coming due in May?
Q – Yash Sankpal – Dundee Securities: Right.
A – Nitin Jain: Yes, so as part of our debt strategy, yes, we really look at kind of all our debt combined, so as we talked about, we have around $106 million of debt which is current, so looking at 73 and the rest of it, we kind of look at it all as combined. Our strategy is going to be around continuing to have some flexibility, so what the lines give us is flexibility that if we do up-finance some things, we can pay down the lines and access the lines as needed if we need to do a quick acquisition. So I think it’s all around the flexibility. We are not in any way concerned about our ability to refinance it. We have already started conversations with our lenders, and our current lines are supportive of what see today in terms of NOI.
Q – Yash Sankpal – Dundee Securities: So those properties are able to support the existing mortgages?
A – Nitin Jain: Correct, and as we go out and forecast at 2015, we’ll take another look at it in terms of what we need, and it’s more to do with how do we want to play around with it, how much flexibility we want and how much rate we want to fix, rather than being focused on is it going to cover that or not, because we don’t see any issues with our debt covenants and it’s just a part of our overall debt strategy to make sure that we execute on it in terms of flexibility and fixing debt.
Q – Yash Sankpal – Dundee Securities: Okay. This question is for Lois – home care business and the third party management business, how much do you think you can grow these segments in terms of percentage of NOI over, let’s say, the next two to three years? Do you see them going to 10%, 15% of your NOI?
A – Lois Cormack: Well let me start with home care, as I indicated, it really is going through a bit of a transition. We are well positioned for the organic growth through increasing volume through the CCAC contract, but at the same time that’s experiencing a bit of margin compression. So really significant growth on home care does require acquisition, and we’re always looking for a strategic opportunity in that regard. Then with respect to management, again good opportunity. This business is new to Leisureworld. We’ve got a very experienced team working on this and very focused on it, so we see good opportunity for growth here as well. I guess I would say it’s a little early in the game for me to forecast where I see this by the end of—you know, even by the end of two years, but certainly our commitment is to grow both and I think that we’re well positioned to do that.
Q – Yash Sankpal – Dundee Securities: Okay. Lastly, I think somewhere—I’m trying to find the page number. You talked about transitioning your support services to the LTC segment. Am I making sense?
A – Lois Cormack: Transitioning--?
Q – Yash Sankpal – Dundee Securities: Your LTC—there was something about the support home care services. I think you are planning to transition some of them to the LTC segment itself.
A – Lois Cormack: Oh, that was just an internal reallocation of some of the services that we were providing to long-term care. Is that what you’re referring to?
Q – Yash Sankpal – Dundee Securities: Yes.
A – Lois Cormack: Yes, it was just an internal transition of services to realign more with the long-term care division that’s receiving the services. We transitioned the management internally.
Q – Yash Sankpal – Dundee Securities: Would that change your margins in any way for the home care business or the LTC business?
A – Nitin Jain: It won’t, because for LTC it’s very small and for this year, it’s in the transaction line anyways, so it doesn’t show in the same property margin for home care. So when you look at the same property, it would stay consistent.
Q – Yash Sankpal – Dundee Securities: Okay, I think that’s it for me. Thanks.
A – Nitin Jain: Thank you, Yash.
Operator: Thank you. The following question is from Brad Sturges of CIBC. Please go ahead.
Q – Brad Sturges – CIBC World Markets: Hi, good morning.
A – Nitin Jain: Good morning, Brad.
Q – Brad Sturges – CIBC World Markets: Just to follow up on Michael’s question on acquisitions, in the last few quarters you’ve talked about looking at more seeking or executing potentially on a tuck-in basis for acquisitions. Any change in thought process there? Would you consider more larger strategic acquisitions if they became available?
A – Lois Cormack: Yes, I think what we committed to at the beginning of the year, or a year ago now, what we said that we were going to focus on is integration, that it was a big acquisition for us, and we’re very pleased with the progress in that regard. So we are—in ’14, I think we said it would be more of a tuck-in approach, but right now we are pretty confident that the integration is well on track with that acquisition and are certainly looking for a strategic acquisition in all lines of business, whether it be tuck-in or large. We’re open to that and well positioned for that at this point.
Q – Brad Sturges – CIBC World Markets: Are there any opportunities in the market today that look interesting to you in any segment, being long-term care, retirement, et cetera?
A – Nitin Jain: Brad, we continue to look at the right opportunities, what are the right strategic acquisitions for us, so we do look at opportunities all the time. We’ll only make a decision once it’s in the best interest of our shareholders.
Q – Brad Sturges – CIBC World Markets: Would you be considering more looking still at existing markets, or would the opportunity also include expanding into new property markets?
A – Nitin Jain: You mean new provinces or just the markets we are in today?
Q – Brad Sturges – CIBC World Markets: Whether it be local or new provinces.
A – Lois Cormack: I think we’re open. Right now, our preference is certainly in Ontario and in BC. We’ve got good opportunity in both, so that’s really our focus; but we’re certainly open to growth overall.
Q – Brad Sturges – CIBC World Markets: Okay, great. Thanks.
A – Nitin Jain: Thank you.
Operator: Thank you. The following question is from Pammi Bir of Scotia Capital. Please go ahead.
Q – Pammi Bir – Scotia Capital: Thanks, good morning.
A – Nitin Jain: Hi Pammi.
Q – Pammi Bir – Scotia Capital: Hi Nitin, how are you? Can you maybe just comment on the branding strategy that you spoke about earlier, and perhaps the expected costs that might be associated with that? I think there was some mention of some one-time transition costs with that process as well, so I was just trying to get a sense of what we might expect on the G&A front as a result of that.
A – Nitin Jain: Sure. I’ll just talk about the G&A front and I think Lois will provide some color on branding. So I think we expect a one-time cost of less than half a million dollars over 2015, and when we do incur those costs, we’ll call them out so it’s easy to separate them because they would be one time, because over time I think we’ll continue to get some synergies once we do go through the branding exercise. I think Lois can add some more color to our strategy behind branding.
A – Lois Cormack: Yes, just with the strategy, it’s a good question. As I indicated, really right now we are very, very focused on being a seniors living organization, diversified into retirement and home care and management, as well as our long-term care business. But despite that, we found over the past year that we really are known as a long-term care provider, and we are right now supporting a number of very fragmented brands and it’s actually quite complex and complicated to support a number of internets and intranets and collateral and different naming conventions. So we see that this is a tremendous opportunity to strengthen our position focused on communities, every community that we serve, so it really is kind of a repositioning, a seniors living organization focused on every community. Over time, we’ll get significant synergies and efficiencies like minimizing the current approach, minimizing all the disparate, fragmented brands.
Q – Pammi Bir – Scotia Capital: Okay, that’s helpful. Maybe just turning back to the renewal program for the B and C beds, when you look at the subsidy that would, I guess, perhaps be ideal from a retrofit or greenfield redevelopment side, do you have an estimate of what that subsidy would be from your perspective for your homes, of what you would need to make the economics work?
A – Lois Cormack: We’ve got a range. We can’t disclose that at this point. We do have a range – again, it depends on kind of the area and the land and what we’re able to do with it and so on. There’s a lot of variables, but we’re pleased with the approach of the Ministry and are confident that we’re going to get a program that works.
Q – Pammi Bir – Scotia Capital: Okay. Then maybe just going back to the retirement homes for a second, again your comments surrounding it’s going to take some longer period of time to lease them up. What does that mean from your perspective in terms of getting them up to a stabilized level?
A – Nitin Jain: You mean—
Q – Pammi Bir – Scotia Capital: In terms of timing – sorry.
A – Nitin Jain: Sure, okay, in terms of timing of getting stabilized.
A – Lois Cormack: Yes, it will be the end of ’15, Pammi.
Q – Pammi Bir – Scotia Capital: End of 2015 to get to—is your stabilized level 90 or 92, or--?
A – Lois Cormack: Yes, overall we’re looking at 90, just because we’re in well supplied markets, and even when I say 90, I’d probably hold Kanata out. That is so oversupplied that that may not achieve 90 in ’15, but overall we’re optimistic and hopeful that the goal would be to achieve 90 overall by the end of ’15, I would say potentially with the exception of Kanata.
Q – Pammi Bir – Scotia Capital: Okay, great. Thank you.
A – Nitin Jain: Thank you, Pammi.
Operator: Thank you. Once again, please press star, one at this time if you have a question. The following question is from Michael Smith of RBC Capital Markets. Please go ahead.
Q – Michael Smith – RBC Capital Markets: Thank you. Lois, you mentioned that if you did see a strategic acquisition in the home care field, you’d have a look at it. I’m just wondering – what range of multiples of EBITDA would you consider fair?
A – Lois Cormack: Well, that depends. There are so many variables, Michael. It depends on how diversified it is, what area it’s in, if it’s just government contract. I think it’s all in the quality of the acquisition, and that’s why when we say strategic acquisition, that’s exactly what we mean, that it’s in line with the catchment area that we’re interested in, diversified and so on. So again, I think there’s probably a range. There is not any one multiple.
Q – Michael Smith – RBC Capital Markets: Assuming it was high quality and a fit, what would be the ballpark range?
A – Nitin Jain: I think Michael, to Lois’ point, that would be hard to predict just because there are so many variables – how big it is, how diverse it is, how many provinces, private versus public because there have different and margin profiles. So I don’t think there’s really a number we can give out for that, because it is just so all over the place.
Q – Michael Smith – RBC Capital Markets: Okay, sure. I understand. Just switching gears, for this quarter the maintenance capex jumped quite significantly. I’m just wondering if you can give us some color for that. Is that a new run rate or is that just timing?
A – Nitin Jain: Yes, so what usually happens, Michael, is that Q3, Q4 would usually be the higher quarters where we spend money, so I think this is something—it was part of our—it was not unexpected, per se. This was more in terms of timing of when our plan will execute, so I think end of Q3 we were roughly in the 2.5 number range. Q4 is the biggest quarter in terms of maintenance, so we think that number is going to be a bit higher for Q4 as well.
A – Lois Cormack: Part of it too was the winter was so severe, we ended up doing a lot of routine maintenance and fixing up from the ice store, so a lot of it got compressed. While we like to even it out over the course of the year, a lot of it did end up in ‘3 and ‘4.
Q – Michael Smith – RBC Capital Markets: Okay, thank you.
A – Lois Cormack: Thank you.
Operator: Thank you. There are no further questions registered at this time. I’d like to turn the meeting back over to Ms. Cormack.
[end of Q&A]:
Lois Cormack: Okay, well thank you all for joining the call. I know it’s been a busy season and I’m sure you’re at the end of it, so thank you so much for joining the call today and have a great day.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time. We thank you for your participation.